Operator: Good morning, everyone, and thank you for joining us today to review Hemispherx's financial results for the 6 months ended June 30, 2016. Representing the company today is Mr. Thomas Equels, Chief Executive Officer. 
 The company is advised by law to provide certain legal and binding disclaimers before we begin. Words such as intends, plans, potential, believes, potentially, possible and similar expressions are intended to identify forward-looking statements. The inclusion of forward-looking statements should not be regarded as a representation by Hemispherx that its plans will be achieved. 
 These forward-looking statements are neither promises nor guarantees of future performance and are subject to a variety of risks and uncertainties, many of which are beyond Hemispherx's control, which could cause actual results to differ materially from these contemplated in these forward-looking statements. 
 For example, because numerous risks and uncertainties exist, despite our efforts and belief regarding approvals, we cannot assure Ampligen will ever be commercially approved for any treatment or that Alferon N Injection will ever be commercially approved for potential new treatment indications for the new manufacturing procedures under way. 
 Examples of such risks and uncertainties include the risks described in Hemispherx's filings with the Securities and Exchange Commission, including the most recent reports on Forms 10-K, 10-Q and 8-K. You are cautioned not to place undue reliance on forward-looking statements, which speak only as of the date hereof, and Hemispherx undertakes no obligation to update or revise the information discussed on this conference call whether as a result of new information, future events or circumstances or otherwise revise or update this information to reflect events or circumstances after the date hereof. 
 With that covered, it's now my pleasure to turn the floor over to your host, Mr. Thomas Equels, President and Chief Executive Officer of Hemispherx Biopharma. Sir, the floor is yours. 
Thomas Equels: Good morning, everyone. This is Tom Equels, your CEO. Welcome to Hemispherx Second Quarter 2016 Conference Call. 
 Our objective is to build a successful biopharmaceutical company. We have spent this last quarter focusing on building our operational and physical infrastructure to enable us to do so. We've engaged in an all-out effort as well to advance our Ampligen ME/CFS programs. I will review a number of those activities on this call. I think that you will see that we have made progress, demonstrating our commitment to the company, to its stockholders and to all those who suffer from ME/CFS. 
 On our last call, we spent a fair amount of time discussing our austerity initiatives, which we put in place during our reorganization efforts, with the goal to preserve capital. We continue to maintain a clear focus on extending our cash runway. In the second quarter, we recorded a near 19% reduction in our cash burn from $2.6 million in the first quarter to $2.1 million in the second quarter. This is also illustrated by our significant reduction in operating expenses, which were reduced over 24% from the first quarter of 2016. These measures will help us to stretch our capital into next year.
 Shifting now to our manufacturing activities and our facility in New Brunswick, New Jersey, which, as you may recall, was flooded in January of this year. While the flooding of our facility was clearly a major setback, we have made great progress in repairing the damage. At this point, we have almost completed all repair works. All that remains in the process is the HVAC Air Balancing and Qualification testing, which will be completed in the near future. Once final repairs are completed, all pumps will need to be qualified prior to the validation process required for a pre-approval inspection by the FDA. There are additional items that will have to take place before that inspection, including a ramp-up, but we will make every effort to expedite that process. 
 While our manufacturing facility has been under repair, we have been focused on replenishing our inventory of Ampligen for our early access program in the European Union and Turkey as well as our ongoing domestic clinical studies. In July, we reached an agreement with Avrio Biopharmaceuticals to serve as an additional contract manufacturer of Ampligen. Avrio, who has a very well-established FDA facility in California, will be responsible for compounding and fill and finishing of Ampligen. We have also made progress in getting Ampligen to patients. 
 In May, we executed an amended agreement with myTomorrows for the commencement of our early access program. myTomorrows will be Hemispherx's exclusive service provider in the EU and Turkey for early access programs and will take over all activities related to the early access programs. The early access program is now under way, with the first shipment of Ampligen having been delivered to myTomorrows in July. We believe that this program is a step in the right direction for Hemispherx, allowing us to continue to generate sales, gather data from those treated in the program as well as helping us to identify new key opinion leaders in the European market. 
 We have also recently strengthened our intellectual property portfolio through the recent omnibus assignment of all IP rights that were formerly held by our prior CEO. This includes all IP related to Ampligen and Alferon that was created by Dr. Carter and others prior to the tenure -- his tenure at Hemispherx. This development helps to alleviate prior concerns regarding partnerships and co-development opportunities. We believe that this advance will simplify the process of forging new partnerships. 
 Now moving on to capital markets. As many of you know, earlier this week, we held our Annual Stockholders Meeting. During the meeting, stockholders approved an amendment to the company's certificate of incorporation to effect a reverse split in the range of 1-for-8 to 1-for-12, and the board has approved the 1-for-12 ratio. This measure enables the company to regain compliance with the New York Stock Exchange continued listing requirements. The reverse split is expected to bring the company's outstanding shares to approximately 20.7 million from approximately 250 million. These changes will take effect on August 26, and the company's common stock will begin to trade on a split-adjusted basis starting August 29. Maintaining our New York Stock Exchange listing is very important to the company, and we deeply appreciate the strong stockholder support we received in favor of the split.
 Finally, I want to review recent changes to our management team and other advisers that are intended to strengthen both management and its decision-making processes. We believe that these changes will help reinforce our path to success for the company. Dr. Carol Smith has been promoted to our Manager of Quality, and she will be responsible for all quality control and for the manufacturing of Ampligen and Alferon. 
 The company has also retained Dr. Joseph Horvath as a Scientific Adviser. Dr. Horvath had previously served as Hemispherx's Director of Research, and we believe that his deep knowledge of clinical development and regulatory affairs will be of great support. 
 Earlier today -- you can read the press release if you wish -- we announced the formation of our Scientific Advisory Board, which will provide us additional scientific and pharmaceutical advice. We've added several fine people to that board. The company has also retained Step Change Pharma as advisers to the company's manufacturing and technical infrastructure. The firm specializes in process design, redesign and development, process analytical technology, quality by design, regulatory innovation and regulatory process. Step Change Pharma will advise the company on all forms of regulatory compliance and cGMP. The firm will play a critical role as we seek to have our Alferon manufacturing facility inspected and approved. 
 I would like to conclude by saying that we are diligently working to focus the company, and we believe that our early access program through myTomorrows in Europe will help us do so. Also, I want to point out that the company will be presenting at the Rodman and Renshaw 18th Annual Investment Conference. That will be on Tuesday, September 13. This will give us an opportunity to reintroduce the company and new management to the investment community. I look forward to seeing many of you there. It will be webcast for those who wish to view the presentation remotely. Thank you. 
Dianne Will: Thank you, Tom. Although we invited stockholders to submit questions for this call, we did not receive any. I will now turn the call back to you, Tom. 
Thomas Equels: Again -- thank you, Dianne. Again, I want to emphasize to our stockholders that we are focused on building Hemispherx into a successful biopharmaceutical company. On one side, we are stringently focused on controlling our costs. On the other, we are aggressively working both internally and externally with partners and regulators to move our programs forward. We look forward to updating you at our next quarterly call. 
 Thank you, everyone. Have a great day. 
Operator: Thank you very much, ladies and gentlemen. This concludes today's presentation. You may disconnect your lines, and have a wonderful day. Thank you for your participation.